Operator: Good morning, and welcome to the Ryanair, Q3 Results Call. My name is Carla, and I will be your operator today. [Operator Instructions] I will now hand you over to the Ryanair Group CEO, Michael O’Leary to begin. Michael, please go ahead when you're ready.
Michael O’Leary: Okay. Good morning, ladies and gentlemen. Welcome to the Ryanair Q3 Results Conference call. As you have seen this morning, we reported a Q3 profit after tax of EUR149 million due to traffic growth of 9% to 45 million passengers at marginally higher fares. We had stronger close in Christmas and New Year bookings at marginally better fares than we'd expected. I would, however, caution cumulatively for the nine months the profits of EUR1.94 billion are 12% below the prior nine months' profit after tax of EUR2.19 billion as airfares over the nine month period are 8% lower than they were in the prior year. The Q3 highlights included traffic growth of 9% to 45 million, despite repeated and very frustrating Boeing aircraft delivery delays. Revenue per passenger rose 1%. Q3 average fares were up 1% and ancillary revenue up 1%. However, the approved OTA partnerships are almost fully integrated and are working well and we see them -- that trending well into the next -- into 2025. We have over 80% -- 50% of our EUR800 million buyback was complete at the end of December. In fact, we're now just over 60% of it done. Ancillary revenues in the quarter rose 10% to EUR1.04 billion in Q3. Operating costs with 9% traffic growth rose 8% to EUR2.93 billion as fuel hedge savings offset higher staff and other costs in part due to repeated Boeing delivery delays. Touching briefly on the balance sheet on 31 December, gross cash was EUR2.77 billion, which delivered or resulted in a modest quarter end net cash balance of just over EUR70 million, despite EUR1.1 billion of CapEx, over EUR1.1 billion of share buybacks and a EUR200 million dividend which was paid last September. Our owned Boeing 737 fleet 500 -- over 580 aircraft is fully unencumbered, and we believe this is critical as it significantly widens Ryanair's cost advantage over all other competitor airlines. While Ryanair prepares to repay a maturing EUR850 million bond in September and a EUR1.25 billion and a EUR1.2 billion bond in May 2026, our competitors remain exposed to expensive and rising long-term finance and aircraft lease costs. We're now over halfway through our current EUR800 million buyback, and we expect to complete this program by mid-2025. When we finish it, Ryanair will have returned almost EUR9 billion, including dividend to our shareholders since 2008, with approximately 36% of the issued share capital repurchased and canceled. I think the most notable feature of the last quarter and for the next quarter is Boeing aircraft delivery delays. These delays have now forced us to revise our FY 2026 traffic target for the third or fourth time. It originally went from 215 million down to 210 million, and we now have to quote it to 206 million, which will be just 3% traffic growth for the next 12 months, a very disappointing outcome given the growth opportunities that are available to us across Europe. We are, however, hopeful and I would say modestly confident that the remaining 29 Gamechangers in our 210 aircraft order book will deliver before March 2026, and will enable us to recover this delayed traffic growth in summer 2026 instead of summer 2025. As we were in Seattle very recently, Boeing still expect the MAX-7 to be certified in the first half of 2025, the MAX-10 in late 2025, which we hope will facilitate a timely delivery of our first 15 MAX-10s in spring 2027 as per our contract. Over the coming summer, we'll reallocate this very scarce capacity growth to those regions and airports, most notably in Poland, in Spain, in Sweden, and regional Italy, who are investing in growth by abolishing aviation taxes and/or incentivizing traffic growth. We expect European short-haul capacity to remain heavily constrained in summer 2025 as many of Europe's Airbus operators continue to work through the Pratt & Whitney engine repairs, as both major aircraft manufacturers struggle with delivery backlogs and as EU airline consolidation continues, most recently ITA, and now the focus is on TAP. I want to touch briefly on the ownership and control issue. As you'll recall, the Board confirmed over 49% of Ryanair's issued share capital was held by -- is held by EU nationals. In anticipation of the breaching the 50% threshold -- or the 50% threshold being reached, the Board deemed it appropriate to review potential variation of the O&C restrictions. As part of this review, we've engaged an extensive engagement process with shareholders and regulators, began last September and is now at an advanced stage. The current restrictions on share purchases and voting by non-EU nationals will remain in place during their review, but based on current trends, the company expects its EU shareholding will reach 50 -- 50% threshold in the first half of 2025 or soon thereafter. And then I think the board will consider and make a decision on whether we maintain the ownership and/or the control restrictions thereafter. Touching briefly on outlook. I know everybody is very excited by summer 2025. Unfortunately, we have very little visibility at this point in time on summer 2025. We do, however, expect our full year 2025 traffic, that is to March 2025 to reach almost 200 million. We might finish just short, subject to no further adverse news on Boeing delivery delays. Unit costs are performing well in line with our expectations as the cost gap between Ryanair and EU competitor airlines widens. And we expect our unit costs to be broadly flat for the full year, thanks to our fuel hedge savings. Our fuel hedge savings, strong interest income, and some very modest aircraft delay compensation in the form of credit notes against materials and services are largely offsetting ex-fuel cost inflation, particularly crew pay and productivity issues, higher handling and ATC fees, and the cost inefficiencies we've suffered as a result of repeated Boeing 737 delivery delays. While Q3 fares were marginally stronger than the prior year, remember, the prior year was impacted by the OTA boycott in late November 2023. This year's Q4 will not benefit from last year's early Easter, which makes our Q4 prior year comp very, very challenging. At this stage, we are cautiously guiding full-year 2025 profit after tax in a range of EUR1.55 billion to EUR1.61 billion. However, the final FY 2025 profit after tax outcome remains subject to avoiding adverse external developments between now and the end of March, most notably, the risk of further Boeing delivery delays and any short-term impact of the risk -- of conflicts in the Ukraine and the Middle East. And clearly, the continuing mismanagement of ATC here in Europe, where we continue to be dabbled by short staffing, particularly on the first wave of departures. And with that, Neil, I'll hand it over to you. Is there anything you want to draw people's attention to in the MD&A of the nine months?
Neil Sorahan: Okay, I don't have a huge amounts to call out other than to reiterate the strength on the costs. The gap between ourselves and competitors continues to widen, and pleased that in line with the guidance that we gave back in November with the half years, we're still guiding broadly flat full year unit costs. Hedging, very well hedged into next year. We're over 75% hedged at about $77 a barrel or 770 per metric tonne on jet. And then of course, as Michael called out the balance sheet in very good shape and the buyback going according to plan, but nothing really else that I want to call out, Michael.
Michael O’Leary: Okay. Thank you for that. With that, we'll open up the Q&A, please.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Stephen Furlong from Davy. Your line is now open.
Michael O’Leary: Stephen, good morning.
Stephen Furlong: Hey, Michael. [Multiple Speakers] Yes. Hi. Maybe just Mike, maybe just talk again about the type of growth for the summer, where that's going to go to, maybe Eddie can talk about that. And then the second thing is, maybe just more generally what you think about the supply chain? Is it more aircraft, Michael, or delays, or would you say it's also engines? Because I know, for example, after Capital Markets Day you talked about maybe insourcing some engine shops from 2030, so maybe just talk about that. Thanks a lot.
Michael O’Leary: Okay. Just before I ask Eddie to take you through the growth in summer 2025, I think we're just being cautious -- be slightly careful here. Q3, we benefited slightly because of the OTA boycott in the prior year comp, so we had an easier prior year comp. Q4, we were challenging prior year comp because we had one half of Easter in last year's Q4. As we move into Q1 of summer -- our summer 2025, we have an easier comp because you've only half of Easter in Q1, whereas this year we'll have two halves of Easter. So the Q1, we're seeing a reasonable bounce in pricing and in volumes, but we have very little visibility into the key second quarter of S 2025, which is September quarter. So we're not going to get into speculation on fares, traffic, other than to say, overall, Europe capacity is constrained. We are much more constrained than we would wish to be. If Boeing had delivered us the 29 aircraft we were due to get this year, we would be growing by about 10 million passengers. We would -- the original target for summer 2025 or FY 2026 was 215 million passengers. We will struggle to get to 206 million. And it is very frustrating that we can't grow at a time when most of our competitors across Europe are heavily constrained because of Airbus engine repairs. But we are where we are. We do however believe that, that constraint though, is -- will be modestly beneficial for forward bookings and forward -- and pricing into summer of 2026 -- summer 2025, as long as there is nothing untoward. And we live in a world where there's lots of risks, most notably further Boeing delivery delays, Trump in the White House, and the -- what may happen with the Ukraine conflict, and in the Middle East. And, can I just touch on the supply chain? We don't see this being a supply chain issue with Boeing. Boeing have particular problems with the -- where they were coming from, the MAX grounding, they were catching up huge backlogs of deliveries. And then they had a two-month strike in November-December. We have been a little disappointed with Boeing at how slow they have been to reboot manufacturing through January -- December, January, and into February. They are making progress, but it is slow progress, and we are very much at the front end of that slow progress. We had expected originally 25 aircraft for summer 2025, that then was reduced to 15, and now we're back to nine aircraft. We're pretty certain we'll get those nine aircraft, because most of those fuselages are actually already in Seattle. But there are no supply chain issues constraining Boeing at the moment. If you go to Seattle, they have lots of spare engines, there's lots of spares there. The issue -- and then there's lots of fuselages backed up in Wichita. The problem is getting them pulled to Seattle and getting production up in Seattle. We are reasonably hopeful that absent nothing else goes wrong with Boeing, that they will build back up their production reasonably quickly, and will be backed up at 38 or -- 38 aircraft by the end of the summer. We would hope to see them getting to 40 -- 38, they expect to get to 38 by the middle of the summer, and we would hope they'll be up at around 42 in October. But that does need an FAA approval to go from 38 to 42. So, there are no supply chain issues with that. There are over the medium term, however, supply chain challenges, particularly with engine maintenance shops around the world. And we are actively engaged in a process where we're looking at setting up one or two engine maintenance shops in-house ourselves over the next 12 or 18 months. Eddie, anything you want to draw people's attention to in our constrained growth for summer 2025?
Edward Wilson: Yes, I think, like, constrained growth has really pointed our -- the churn that we've gone through in airports and where we rewarded like countries, regions and airports where we have -- where we've got reducing costs, that's reflected in either airport charges or taxes. So, if you look at places like Italy, the municipal tax going in three regions now, and so we've had additional aircraft going into Lamezia and Reggio, both in Calabria, also in Trieste, and then more recently in the last two weeks in Abruzzo. And that tax has been -- has been reduced or is gone and that's EUR650 per passenger. That will -- you see in places like Spain where suddenly we see that -- while we're still growing at major airports, it has brought into sharp focus the un-competitiveness of regional airports. You have seen the spat that we've had there in recent weeks, where you've got the airport authority not moving at all. So, was heavily towards leisure in the tourist hotspots of the Balearics and the Malagas and Alicantes, where we put in extra capacity. And if you look right around them, places like Sweden, the aviation tax has gone. We've increased our based aircraft in Sweden by about 30%. And then you look in places like central Eastern Europe, whereby you have Croatia, with our new base doing very well in Dubrovnik, you've got Hungary with taxes going even in Dublin this week, where you've got the incentive on for Gamechangers going in, so that we're getting reduced costs because of less noise emissions and less fuel burn. So, and even in Germany, whereby you've got this disconnect similar to Spain, where major airports continue to ratchet up prices through federal taxes, you still have the smaller regional airports in places like [Niederschlag] (ph), Baden-Baden, fighting very hard for capacity. So, less capacity, bringing those -- bringing costs into sharp focus in Europe, those that reduce costs are being rewarded, those that don't are not getting any of that growth and in some cases are in reverse.
Michael O’Leary: Yes. And I would highlight the case of the UK economy in particular, where you, Rachel Reeves, claiming that to deliver growth, her first day initiative with increase APD, which immediately damages air travel to and from the UK, and now trying to distract everybody by supporting a third runway in Heathrow. The third runway will be may or may not be delivered in my lifetime, I wouldn't hold my breath. But if you're really serious and if that government is serious about growth, they should be scrapping APD, and stop worrying about a third runway in Heathrow. There's lots of runway capacity still in Stansted, Luton and in regional UK, where Manchester, Liverpool, Birmingham, Bristol, Glasgow, and Edinburgh have lots of capacity for growth. But the first thing she does is dump up the taxes, which harms growth and encourages us to reallocate capacity and growth away from the UK to markets like Sweden, Italy, Hungary and others, where they're reducing or abolishing taxes. It's about time these European politicians began to actually twig. Trump isn't always wrong, and if you want growth in European air travel, abolish these stupid taxes. The benefits flow immediately to consumers and there'd be an immediate response in terms of growth in the UK, whereas the third runway in Heathrow won't happen for the next ten or 20 years, and it's just a distraction from her failed policies of raising travel taxes. Next question, please.
Operator: The next question comes from James Hollins from BNP Paribas.
Michael O’Leary: James, hi.
James Hollins: Hi, Michael. Yes, thanks. Two from me, please. First one is on the OTA update. This is not me trying to get you to talk about pricing in the summer. I was wondering if you can just give a broader response on what you're seeing on booking impact, maybe what tech integration still to go, and maybe what sort of upside you might see on pricing into fiscal H1 2026, now the OTA deals are done. And the second one, I know that being stupid here, but I get why full year 2026, fiscal 2026 passengers are only up 3%. But in your appendices you've got full year 2027 only up 4%. I think previous was 10% and obviously, you got a lower base. Maybe just run me through what I'm missing. Thank you.
Michael O’Leary: Okay. That's FY 2020 -- On the OTA update, we have agreements done with over 90% of the major OTAs. They are -- and I think what's critical in those agreements is that the OTAs, we give them direct access into the Ryanair inventory, and they agree not to overcharge our customers. So, we're seeing strong forward bookings. Now, these are small volumes, I mean, in total, the OTAs may account for say about 10% of our total traffic over a full year, but we're seeing meaningful volumes coming through at higher average fares at the moment through easter into summer 2025, because they are booking holidays at the moment and they book Saturday to Saturday, and they tend to be booking more premium travel dates and more premium times. So, we're certainly seeing a reversal of the OTA boycott this time last year. And therefore, against a week's prior year comp, we're seeing strong numbers out into the summer 2020, but off a very low base. I mean, if I look out across, if I take April out of the numbers, at the moment, we're seeing our forward bookings this summer 2025 are running about 1% ahead of where they were this time last year. And the prices are very modestly up, but only modestly. Now, April is different because April has two halves of Easter. So Q1 will get a bounce, but it's too early to make any predictions on Q2 or Q3. The tech integration has gone very well. We do see they are actually in some cases better at selling some of the ancillary service than we are. And we're learning from that and working with them. We, and some of the OTAs are also looking at advancing kind of artificial intelligence and machine learning to improve the way we display and -- display our fares and prices, and then convert people into using the ancillary services. FY 2026 at the moment, Boeing, because we're 29 aircraft short this year, the numbers are moving to the right hand side. So, at this point in time, we expect this year we'll be probably just a fraction under. I mean, we could be 30,000, 40,000 passengers under the 200 million. We will grow 3% next year to 206 million and then we expect to get much of that back. We expect FY 2027 will grow to about 215 million with the 29 aircraft, delayed aircraft. If we get all of those by the end of March 2026, then FY 2027 will be 250, which would be 4% traffic growth on 206 million.
James Hollins: Yes, a small -- Why you're only at 215 million in full year 2027, you were at 230 million previously, unless I'm getting that wrong. But just wondering. [Multiple Speakers]
Michael O’Leary: No. It's in the slide presentation. I mean, I'm not sure whether we were at 230 million -- was a partly, that might have been -- that number is a movable number. It was -- we have come up with a calculation eight years ago where we got to 230 million with some additional -- we'd buy some additional second hand aircraft. The 230 million has now moved back a year to FY 2028. We still think we'll get there, but that's with the -- we need the MAXs and no more delivery delays.
James Hollins: Okay, cool. Thank you.
Michael O’Leary: Don't get too focused on one year over the other. All of our growth -- deliveries are essentially moving back a year to the right and therefore so is the growth.
James Hollins: Okay.
Michael O’Leary: Thanks, James. Next question please.
Operator: The next question comes from Dudley Shanley from Goodbody.
Michael O’Leary: Dudley, hi.
Dudley Shanley: Good morning, Michael. Two questions if I may. The first one is on the slower growth profile next year. I mean, are there implications in terms of unit costs, I think particularly in staff, or does the airport and route churn ability that Eddie was talking about offset that? And then the second question is in terms of the outlook for capacity constraint in Europe over the next few years, have you seen anything change in that outlook in the last few months? Thank you.
Michael O’Leary: Okay. On a slower growth profile I don't think it -- we don't see anything that will -- that should constrain us there. The big issue for us last year was, we had spooled up to take for 30 aircraft deliveries and finished up getting 15. So we were over crewed through a lot of the summer. As long as Boeing deliver us those nine air -- the nine aircraft we're due to get this summer, we will have a better balance of crewing this year. We won't and haven't over recruit or haven't over recruited or overtrained. In fact, if anything, our attrition rates are running at historically low levels. So, we are cutting back and have postponed or canceled a significant amount of pilot and cabin crew recruitment training that would normally take place through our Q3 and Q4. So, there might be a little bit of upside there. The churn discussions have been interesting. We have seen significant, I think, results coming out of negotiations with a lot of base airports, and also with governments. I mean, I think the rollback of taxes in Sweden, in Hungary, in regional Italy, and in some of the other have -- are a direct result of those kind of churn discussions. And I again -- it highlights why the UK is so kind of completely out of touch, delusional stuff like raising taxes at a time when other EU economies are scrapping aviation taxes, and then talking about a third runway in Heathrow in 30 years’ time. It's all meaningless nonsense. And -- But we don't see that there would be -- again, I think that, while the slower growth profile is disappointing, it's short-term. We will add only about 6 million passengers this year, 206 million, and then we will go back to close to 9 million or 10 million passengers, which is what we expect to be our normal growth profile going forward. We expect to be growing at about 10 million passengers a year, so something like 4% or 5% on a 200 million base. And that has been our rate of growth in prior years where we didn't have Boeing delivery delays. Eddie, you want to talk about the [Multiple Speakers] on capacity and seeing any changes?
Edward Wilson: Yes, but on that capacity constraint, I mean, that does bring those decisions into really sharp focus in different countries. I mean, if you just take what Michael called out there in Sweden, I mean, Sweden's got to look around and see, look, SAS has come out of chapter 11, much smaller than it was before it went in. Norwegian haven't really grown in Sweden. And if they want to have connectivity, they look around and say, what are we going to do, and Ryanair is essentially the only show in town to actually move the dial. And increasingly, we're able to move the dial even with that reduced capacity in places like Morocco, where we've grown by almost 20%. Italy, where that growth is going into those airports where the municipal tax has gone. And those regions airports know that there is no other carrier of volume that can actually solve the problem that they have for making up capacity shortfalls post-COVID, it just comes into sharper focus.
Michael O’Leary: And I think if you look around the competitive piece, you look at some of our competitors, the likes of easyJet are getting some aircraft, they're up gauging aircraft, but most of that is taking place at their fortress airport, the Gatwicks, the Paris', Switzerland’s. They seem to be avoiding competition with us quite sensibly. And equally, I would say, Wizz, same thing, buying aircraft at ludicrous prices, their cost of aircraft ownership, maintenance goes up the more aircraft they get. But most of that capacity seems to be deployed into the stands, the Middle East. We see no capacity growth in any of the markets where we're still growing capacity meaningfully, Poland, Romania, Bulgaria, Hungary and down in the Balkans, where we are expanding quite significantly, a lot of it in markets where they were previously the main carrier, Albania and Tirane, for example, we're growing strongly. [indiscernible] I don't know, obviously, their kind of growth is constrained by the Airbus engine repairs, but we see very little from them. For all their talk about competing with us, they're in retreating at speed out of Italy. They have retreated at speed out of Vienna. We barely noticed that, I'm not even sure whether they're in Vienna anymore, but nobody in Vienna has heard -- knows whether they are or not, either. And meanwhile, we're continuing to grow strongly in all of those markets. So if you look at, what are we looking at outlook for capacity, we are constrained this year, which is a disappointment because I think if we could get more aircraft, we would take enormous amounts of further market share from incumbents. We look to Lufthansa acquiring ITA. We think that will mean ITA doing more feeder services into Frankfurt and Munich, but will create more opportunities for us to grow in domestic Italy. And I think if the TAP consolidation takes place again, we are the largest airline in Portugal and we would be a direct beneficiary of one of the high cost or high cost airlines, Lufthansa or Air France, KLM or IAG acquiring what's left of TAP in Lisbon. Next question, please.
Operator: So the next question comes from Jaime Rowbotham from Deutsche Bank.
Michael O’Leary: Jaime, hi.
Jaime Rowbotham: Good morning, Michael. So, two from me. First one, I'm afraid I just want to carry-on on this capacity point. Last summer, despite all the challenges, you grew your seats about 9%. I think some of your competitors, many of them grew at 4% to 5%. There were one or two smaller ones that grew even faster. So the schedule suggests system capacity last summer was up mid-single-digits. And if we then turn to this summer, clearly you're now looking at 3%-ish. And I take your point on with [20] (ph) in easyJet, one being rather exceptional, but there's others around Jet2 at 9%, Norwegian at 5%, even adjusting those for further aircraft and engine issues, it feels to me like there can be a reasonable bit of intra EUC growth at a time when the demand growth is surely resuming its more normal relationship with the macro, right? Like 1.5 times to 2 times a modest Euro Area GDP. So, I just wanted to challenge one more time this idea of such constrained supply. And then secondly, I just was going to invite you to again comment on the unit costs, flattish in the quarter, but obviously fuel down 12%, non-fuel up 8%. You mentioned some of the things driving that up 8%, the crude pay, the productivity issues and a few others. Could you just touch on those again, and make -- help us understand when that non-fuel cost inflation might slow a bit for Ryanair? Thanks.
Michael O’Leary: Okay. I might part the second one. I give the unit costs, and ask Neil to come in on unit costs and maybe Tracey, who's here with me in Dublin might add on that. Can I just touch on the capacity growth? Look, again, I think sometimes with a great respect, you guys get a bit overly focused on where the capacity growth is. I think what's happening is, there are some additions to capacity, but easyJet, mostly their capacity growth is up-gauging aircraft, and it is not competing with us. It is up-gauging aircraft replacing 319s for 320s or 321s in Paris, in Switzerland and in Gatwick. We don't see it, or we don't notice it. If you take Jet2, for example, yes, there's some modest increase in capacity, but it's largely on UK regionals to holiday hotspots, it's packaged holiday stuff going to the Canaries. That's not to say it's not real, but frankly, we're seeing increased demand, particularly having repaired the OTAs. I think we did lose a slug of that business last year that went to the tour operators. And that I think is clearly coming back to us this year, because ultimately, our combination of Ryanair and the OTAs, we have lower seat cost -- lower seats, and therefore more competitive package with the like of Jet2. But across the European piece, if you look at ADS that where are we allocating our growth this year it's in Sweden. We don't notice Norwegian at all up there if they're adding any capacity in Norway -- in Norway we don't notice it. Italy, where we're seeing regional, the three of the biggest regions abolishing municipal tax. Hungary, okay, admittedly, it's with its own marketplace. Again, they're not adding any capacity there that we can see. At Poland, nobody's adding any capacity in Poland other than Ryanair. So, in every area where we're adding capacity, we don't see somebody else adding capacity. And then, we do slightly have the benefit. And I would caution again this year, where I keep coming back, we have a kind of weaker prior year comp this year because of the OTA. We were one of the few airlines last year that's up, fares down 8% in the nine months. So we have an easier prior year comp, partly because of the OTAs and partly because of -- we couldn't really identify where the weakness was in consumer spending last year, whereas competitors like easyJet, for example, their fares were flat last year, but their capacity was essentially flat. Jet2 had fares up, but again, I think that was partly a benefit of our sending the OTA traffic going to them from us. So, I don't argue, I don't dispute that there may be a modest increase in capacity across the piece, but that capacity doesn't appear to being, getting added into markets where Ryanair is either very large or growing in those markets. And so, we would still believe again that we're entering into a reasonably benign period where the outlook for traffic growth is constrained at 3% -- maybe in 3% or at 3%. And at this point in time, the pricing looks reasonably benign. I mean, if you look at Q3, we expected Q3 pricing would be down 1%, we were up 1%. It's not -- the world isn't going to stop turning, but it's modestly better than we had expected. And I would hope that the rest of the summer would continue like that. Eddie, anything you want to add over that from capacity growth?
Edward Wilson: No. I mean -- [Multiple Speakers] And a lot of this capacity, sometimes while its planned by competitors, ends up falling away. I mean, like, best estimates, you'd see that the European capacity be up, slightly, maybe up about 1 -- maybe 102% of what it was in pre-COVID. So it's -- I would echo what Michael says there. You don't see it, like, when we grow by 20% in places like Morocco, it's an open piece there, the same like Italy and its ability to absorb capacity goes on and on, we do 65 million passengers like in Italy, and you look at our largest market and we're able to do that in the regions where nobody else has put that in, you look, like, on domestics, Wizz have six routes there, we have a 123 domestic routes. Our ability to leverage that base network down there just gives us more options. And we don't see those large moving parts from other airlines. If you look at easyJet have gone into the [NACE] (ph), while we have the two larger airports there in terms of Bergamo and Malpensa. So we're not seeing it in that. It's not playing out that way in individual markets for us.
Michael O’Leary: Okay. Neil, you want to touch on unit cost? And I'll ask Tracey to come in here as well.
Neil Sorahan: Sure. Jamie, again, and everybody else, first and foremost, I would reference you to the MD&A which does a pretty good job in going line by line on the unit cost. But in the quarter itself we're very pleased where we finished up down 1% on total unit costs, fuel offsetting a lot of the headwinds that we've been calling out since the start of the year. The likes of the extra crewing ratio due to Boeing delivery delays, the productivity pay increases that we implemented at the back end of last year coming true this year and driving some labor inflation in the business. We've 36 extra aircraft in the fleet, 9% more sectors, and traffic driving some of the movements on a number of the other line items on maintenance, because we haven't had the Gamechangers in the volumes that we would have expected, putting more cycles onto some of the older aircraft and driving that up. A little bit of FX adverse in the quarter, but that's offset by a positive foreign currency impact below the line. And then on the marketing distribution and other, we've got a one-off legal charge that we've taken in the quarter. So overall, very pleased with how the unit costs have gone, broadly flat on a full year basis. And some of those headwinds will start to dissipate into next year. We hope to be nowhere near as highly over crewed as we were this year with the aircraft coming in from Boeing and the planning that we've put in place. We'll have lapsed the productivity pay increases into next year, as well. Route charges have gone up, they've gone up for everybody. ATC ground handling, that kind of stuff is still going up a bit, but Eddie and the commercial team are doing a good job on airports. But we're going through our budgets at the moment. We need to see what the impact of the slower growth will have on the numbers. And realistically, we'll give more color on unit costs when we come out in May.
Michael O’Leary: Tracey, anything you want to add on unit cost?
Tracey McCann: Yes. First of all, the biggest thing behind them all, which Neil has gone through there is labor inflation, which is driving into a lot of them, has a bit of an impact on that maintenance line as well. And again, the strength that we're seeing on the dollar at the moment having some impact on maintenance which more or less offsets itself. And then the biggest one, which we'll probably see to continue for next year is again increase on route charges, again, which unfortunately isn't linked to an improvement in ATC performance. But that's going to continue. We've already seen the charges have been published for FY 2025 calendar, and we're seeing an increase again in that. But other than that, as Neil said, we are reviewing the budget at the moment and going through each cost line in detail.
Michael O’Leary: And I also -- just on unit cost, there are upsides, we're now hedged, we said we're 75% hedged into FY 2026 at $77 a barrel. That's a $2 barrel saving over where we were this year. The indications are the Trump administration will encourage more certainly US oil production, and we could see further falls in fuel and oil savings which would benefit all airlines across the piece. I think if you look at our costs, they're running marginally ahead of the 9% growth in traffic for the nine month period, but only very marginally. I think it's another exceptional cost performance in a year where at the start of the year we were facing into significant potential inflation, both in airport, staff and route charges. And I think we're continuing to demonstrate we manage costs better than any other airline in Europe. And certainly, below the line, if you look at the net finance, we will be debt-free in the next 18 months when most of our competitors have a significant amount of either debt or a finance lease -- finance lease expenditure. And we're looking, I think in the medium term at higher interest rates and significantly higher lease rentals, whereas we own the fleet, it'll be unencumbered, and we will be debt-free in the next 18 months, which will drive an enormous different or further widen the gap between us and our competitors. Thanks, Jaime. Next question, please.
Operator: The next question comes from Jarrod Castle from UBS.
Michael O’Leary: Jarrod?
Jarrod Castle: Hi. Good morning, everyone. You touched on President Trump, and I don't want to get too much into things, but obviously, he's made a lot of commentary about the environment, and I guess the airline industry has got a very big ramp up in terms of what they face. How do you think, if anything, it's going to have an impact for Ryanair and short haul or for the industry as a whole if given potentially what it means for American aviation? And then, secondly, just any thoughts on kind of, other areas of auxiliaries that you may or may not be pushing into summer 2025? That would be very useful. Thanks.
Michael O’Leary: Okay. I'll do the first bit. Look, we're all kind of waiting to see what Trump will do. I think the more immediate ones is I think he's certainly right in terms of increasing oil production, driving down oil prices would have -- I mean, if you want to kind of fix the Ukraine -- war in Ukraine, drive oil prices down, nothing will bring the Russians to the negotiating table faster. I think there's a lot of concern about trade and trade issues, and I think Ireland and Europe has a significant card to play in the form of Ryanair. We are the biggest customer for Boeing, we buy American manufactured aircraft, we have over $35 billion worth of orders for American manufactured aircraft. And I think we therefore would be a key calling card for the Irish government in their trade discussions with the US, nobody buys more aircraft, American-made aircraft than Ryanair does. And we operate here in Europe with a fleet of American made Boeing 737s where I think we're able to show that we can meet and beat a lot of our Airbus competitors. And, if there is an early peace dividend in the Middle East or in Ukraine, that would clearly be welcome. We do expect to go back flying to Tel Aviv on the -- when they reopen the low cost terminal at the end of March for the summer schedule. We would be very supportive of anything that brings about a, certainly a ceasefire or some sort of enduring peace and reopens the skies over Ukraine. We will be the first airline back into Ukraine when it does reopen. We were the largest air -- one of the largest airline in Ukraine prior to the Russian invasion, and we would look to go back there. So, I would think net-net, who knows, but if Trump could bring down or increase oil production and drive down oil prices, certainly that would be good for the world economy in general. It would certainly be good for air travel, and it would certainly be good for tourism and economic growth across Europe, although maybe not in the UK where Rachel Reeve will find some new way to raise [indiscernible] taxes on air travel, but she's rabbiting on about a new runway in Heathrow in about 50 years’ time. Eddie, do you want to touch on ancillary?
Edward Wilson: Yes, I mean, I don't think you're going to see anything major from new initiatives, but I think we're just getting better with the cards that we have. And if you look at the core ancillaries related to flight of bags priority and seats, what you're seeing there is better applications by labs here in integrating those decisions by consumers and the models are getting better at that. And we're learning all the time, particularly on seats, which is relatively new in the evolution of ancillaries, so I think you're going to see more improvement there. And then, ultimately, if not in the near-term you'll see that model morphing into total revenue and getting it. But we got to fix schedule revenue first in terms of dynamic pricing before we'd attempt to integrate it all together. And then you're looking at onboard spend where that new initiative again developed here by labs of order to seat is now well over 10% now of people ordering directly, and the average transaction value is higher. And I think we're going to see -- you'll see a tipping point at some stage. I don't know whether that's going to be at 20% or 30% where people will see that they can just order directly from seat rather than waiting for the equivalent of somebody in a retail environment of shoving the shelves around to the consumer, rather than the consumer ordering directly to their seats. So, a lot of work going on. Labs are behind this, and nothing spectacular, but it's a slow, plodding way to get through to finesse those models.
Michael O’Leary: I think it's fair to say labs have made dramatic gains in the last quarter. We've now rolled out our operating with the in-house operating system, which was designed in-house by labs. It has now taken over running the operations in Warsaw, Malta, Dublin here. We are looking to go 100% automated boarding passes here in advance of the summer. That will give us much more kind of tactile communications with all of our passengers, and be able to also incentivize them, hopefully, to improve conversion. So labs continues to make a very meaningful difference. And I think we're very close to a long term agreement with our Navitaire too on the booking engine, which will take us, will extend our agreement with them out into 2030 -- 2034. But labs are also working over the medium term on a long term in-house bookings engine ourselves, where, if we want to, we can replace Navitaire at any time, either before 2034 or in 2034. So labs continues to roll out enormous cost savings across the piece. Next question please. Thanks, Jarrod.
Operator: The next question comes from Savanthi Syth from Raymond James.
Michael O’Leary: Savi, hi.
Savanthi Syth: Hey, good morning. And just two questions from me please, just -- I apologize if I missed this, but can you talk about how you're thinking about CapEx given the revised outlook of deliveries? And then, in terms of, for the second question in terms of kind of fiscal 2026, I know on the jet fuel side we have a lot of visibility, but could you talk about what you're expecting in terms of your rear pressure from the new SAF requirements, and kind of the decline in ETS allowances?
Michael O’Leary: Okay, I'll take -- Tracey, once you answer the CapEx and the revised deliveries, and then we'll touch on FY 2026. We have Thomas Fowler brief us on the FY 2026 on the SAF.
Tracey McCann: So some of our CapEx, our guidance for this year will come down on the basis that some of the aircraft are delivered into next year. So, we'll probably be at about EUR1.7 billion to EUR1.8 billion for this year. I'm probably looking at about 1 point – [Multiple Speakers]
Michael O’Leary: This year being FY 2025.
Tracey McCann: This year being FY 2025. And then for FY 2026 based on what we're seeing, but again, I'm cautioned that the budgets still being done at the moment, we've approved CapEx of about EUR1.7 billion due to the aircraft rolling into next year, but we'll finalize that as we close out the budget as well.
Michael O’Leary: Okay. And Thomas, can you touch on the impacts in FY 2026?
Thomas Fowler: Yes. And just on FY 2026, Savi, so obviously, although we're losing some free ETS allowances, we are better hedged in FY 2026. So we're hedged, just under 70% hedged at EUR61 for carbon credit versus EUR76 in FY 2025. We do have the 2% SAF mandate. So we expect at the moment, the bill to rise from just over EUR850 million in FY 2025 to over EUR1 billion in FY 2026 with the SAF mandates as well. So, that's where our working assumption is at the moment.
Michael O’Leary: Okay. Thanks, Thomas. Thanks, Savi. Next question please.
Operator: The next question comes from Muneeba Kayani from BofA.
Muneeba Kayani: Good morning. Firstly, just on compensation, so you had some compensation, you said modest this year. Can you explain to us how this works? Is that compensation for deliveries right now? And kind of just trying to get a sense of would you continue to get compensation in FY 2026 given the delivery delays that you've talked about? And then secondly, just on fares, like, what have you seen in the fare trend in January, February? Kind of, has the strength continued from Christmas? Because the Easter impact is just March. So just trying to understand the current trend. Thank you.
Michael O’Leary: Thanks, Muneeba. Okay, let's touch on -- touching on the Boeing thing, I think it's a bit -- It's a bit unfortunate, we have to describe it as something so we call it compensation. What we're really getting from Boeing, and it's in response to repeated delay, delivery delays of the aircraft, we're getting some credit memos which we can apply against the goods and services we buy for them on an ongoing basis. The numbers are small, it is not meaningful or significant. And compensation is probably the wrong word to use, but we're just getting negotiating some credit memo. Boeing are giving us some breaks. I think they're embarrassed by the delivery delays. I mean, they're now delayed over the previous, we're now getting further delays on what had previously been agreed as delayed deliveries. The 29 aircraft that we will get in advance of March 2026 should originally have been delivered in advance of March 2025. So, we are getting a small amount of a credit memorandum -- credit memorandum, credit notes against goods and services. We would expect to get a similar, something similar again next year, and then hopefully there'll be no more after that. We don't want -- as I keep saying to Boeing, I don't want compensation, I want my aircraft. I would make much more money if I had -- Boeing had delivered me the additional 20-odd aircraft that we were supposed to get for summer of 2024, we would have done this year close to 210 million passengers, and we would have -- it would have -- we would have made much more than the very small, mid, double -- mid-double digit value of those credit memorandum. We would expect to get something again next year. But again, it's very small and it's a distraction. The sooner we can get the aircraft in a constrained market in Europe, the more we can kind of deploy them, the more we can take on that market share and we will hold onto it over the longer term. And Q4, prices in January are modestly up, I don't want to put a number on it, prices in February are modestly up. January was, I think slightly distorted by a very strong Christmas and New Year period. We had lots of people booking late and we did see. So, pricing in January is up slightly more than it is in February. February is up, but it's more modest. And then March is significantly down. And so, it really doesn't help to get into a month by month granular. April is significantly up, and we have too little visibility for May, June and July at this stage. I think it's much more helpful though to look at it in a kind of a -- if you take the summer of 2026 at this stage, I think it's much more helpful to look at in terms of forward bookings are running about 1% ahead of where they were this time last year, and the pricing at the moment is modestly up. And I'm not putting any definition on modesty. There's lots of analysts out there who have the pricing models, and they can tell you that it's -- the pricing looks strong. Our competitors in recent months on their commentary, Jet2, easyJet are all saying -- seeing reasonably strong bookings into Easter and into the summer, and pricing looks like it'll be kind of modestly up. So, I would have said the -- for the summer this year, modest, cautious optimism is where we should be, but we're not putting numbers on it. We have in the past tried to put numbers on it, and then, when the number proves to be wrong, we get criticized for poor communications and everything else. So, we'll let you guess yourselves because your guess is as good as mine at this stage. All I can point back to is, capacity is heavily constrained, we're more constrained than we've ever been before in our history at just kind of 3% traffic growth for the next 12 months. And the initial pricing and forward booking numbers into the March quarter and into the June and September quarter, look, I think cautiously optimistic. But I wouldn't want to get -- I wouldn't want to say any more other than that. It all looks okay. It doesn't look bumper, it looks fine. We're much more focused here on managing the costs into the summer deploying the aircraft and I think the new routes team have done terrific work on those churn negotiations. And I think there's a real sign of change in Europe when you get governments like Sweden, Hungary, regional Italy abolishing aviation taxes. This is where the future, if Europe is serious about being its competitors and growth, you look to what the Monty Report has done, reform your completely [indiscernible] up and failed air traffic control system in Europe, staff up properly for the first wave of flight, protect overflights during national holidays, and end these idiotic and penal aviation taxes, which we only levy on European citizens. And then we exempt the most polluting long haul and non-European airlines from any penalty whatsoever. So, there's lots of upside. Thanks, Muneeba. Next question please.
Operator: The next question comes from Alex Irving with Bernstein.
Michael O’Leary: Alex, hi.
Alex Irving: Hi. Good morning, gentlemen. Two for me, please. First, I'd like to come back on the ancillaries. So, your ancillary revenue of passenger is back to growing again, it's flat year-on-year, the previous two quarters, but now I see the acceleration here. Can you get back to the 2% to 3% growth you used to experience across FY 2023, FY 2024? Second question. Recent suggestions in the UK about expanding capacity at Gatwick Airport. Is that interesting to you with a higher revenue opportunity or is that really too high cost? Thanks.
Michael O’Leary: Okay. I'll take the second one first and I'll get Eddie deal with the ancillary. Look, I mean it's just PR film flam coming out of Rachel Reeves. The expanding capacity at Gatwick, or the second runway at Gatwick, or the third runway at Heathrow will take 20, 25, 30 years. They are nowhere near this. Meanwhile, she's increasing APD, which is one of the most penal and idiotic aviation taxes in Europe, on an island on the periphery of Europe. They have no plan for regional growth, absolutely nothing going on in regional growth. In fact, even if you did deliver a third runway at Heathrow, all it would benefit is London. If you really want to start delivering growth and particularly growth across the regions of Europe, abolish APD, scrap it, and you would see dramatic investment in capacity at airports like Manchester, Liverpool, Birmingham, Bristol, Glasgow and Edinburgh, who have capacity to grow. You don't have to wait 25 years or fight with the Mayor of London or anything else. And yet, they haven't even got that right. So, would Gatwick, if it expanded, be of interest to us? It would probably be of interest to the next management or to the second, probably the next two management teams in Ryanair, because it'll be at least [indiscernible] 20 years by the time it gets here. Expansion in Luton could be delivered more quickly. I was amazed, there was no mention of Stansted. And if there was one airport in London that you could actually expand reasonably quickly, because all it requires is a bit of terminal capacity expansion, and it didn't even get mentioned. So, I wouldn't hold out too much hope for the Labour government's plan for adding runways in the Southeast of England. They have runways all over regional UK, which could grow tomorrow if all they have to do is abolish that idiotic APD tax. Eddie, ancillaries?
Edward Wilson: Yes, Alex, I think it's very difficult to speculate on percentages like a year or two out. But I mean, this is steady flooding, as I would say, because you want something that sticks and that the models actually work. And the team from labs that work on this in terms of, and I think what you've seen this year is that they're integrating the, sort of, total pricing. And as I said earlier, the next iterative step on that is to put in scheduled revenue. But scheduled revenue has somewhere to go. Everybody just looks at what they paid on their credit card each month. So, yes, there is. There is upside on that. There is upside particularly on board as well. But, I wouldn't want to speculate that we'd get back to that level. Much more intent on making it actually work and stick.
Michael O’Leary: Okay, thank you, Alex. Next question please.
Neil Sorahan: Alex, for your models, you should be thinking about 1% to 2% in the next year or two.
Michael O’Leary: 1% to 2% on top of growth.
Alex Irving: Thank you.
Michael O’Leary: Yes. Next question, please.
Operator: The next question comes from Gerald Khoo from Panmure Liberum.
Michael O’Leary: Gerald, hi.
Gerald Khoo: Yes, good morning, everyone. Two, if I can. Firstly, I was wondering if you could expand on the legal charge within marketing and other? I think you said it was one off, but it does seem presumably is rather large. I just wonder if you could explain what the nature of that was, and what sort of what we should be assuming sort of for the underlying trend for that cost line? And secondly, I think you said that you've booked delay compensation within interest income or interest income -- interest and other income. Why has that presentation changed from before? And is that because the nature of the compensation is different? I think in the past that we've seen some movements come through, reversals of CapEx and then in other, in sort of reversals of other costs.
Michael O’Leary: Okay. Neil, I'll ask you to deal with the comp -- the small amount of compensation and the treatment. The legal charge was the baggage, Spanish baggage fine, which in our view is completely illegal, it's in breach of EU law. They've used a 1960 piece of legislation in France about 15 years before Spain even joined the European Commission to impose in our case a fine of EUR107 million, and it has no bearing in reality, we think it has no legal standing either. We expect the European Commission to overrule it. But, Juliusz, you want to touch a bit -- the detail of the -- what the charge we've taken, and your view on the baggage fine?
Juliusz Komorek: Yes, thanks, Michael. Hi, Gerald. So, if you follow Spanish media, you couldn't have missed the fact that Ryanair and five other airlines were fined in late November a total of EUR170 million, primarily in relation to cabin baggage policies applied by ourselves and those other airlines. I think that -- I'd try not to get emotive with those things, but this fine is outrageous. It is a clear breach of EU law. EU law is clear on this point, and even more so, the EU court, in the dwelling judgment about ten years ago, clarified issues around baggage charges that can be imposed by airlines and made it clear that cabin baggage charges are lawful. So, yes, we fell victim of local politics in Spain with a minority partner in the current ruling coalition in Spain trying to essentially make a name for his party, for himself, and leading with this very, very big fine. Unprecedented, really. So, the issue will end up in Spanish court and ultimately if Spanish courts do not overturn this fine, it will end up in the EU court in the CJEU. It will take probably two to three years to get this sorted. But we are absolutely confident in our legal position. In the meantime, however, we have to provide for half of this fine to be shown in the accounts in the form of that legal charge. And hopefully this will be reversed when we are successful with our appeals.
Michael O’Leary: Okay. Thank you. And Neil, the treatment of the Boeing credit?
Neil Sorahan: On the compensation and the other income, I suppose just on the legal charge, Gerald, that's an abundance of prudence in relation to that. On the compensation, as Michael has rightly said, in the first half of the year, all of that modest compensation was in the form of goods and service credit memos. In the quarter just ended, it changed slightly in that we got some cash compensation which didn't actually fit in any of the other lines, so went into net finance and other income. We would anticipate to the extent that there is any more compensation that'll most likely go back into the maintenance of materials with -- in the form of credits.
Michael O’Leary: Okay. Thanks, Neil. Thanks, Gerald. Next question, please?
Operator: The next question comes from Andrew Lobbenberg with Barclays.
Michael O’Leary: Andrew, hi.
Andrew Lobbenberg: Oh, hi there. Can you just tell us where you would get the airplanes from if something opens up in Ukraine, how quickly you'd be able to do that? And just on the OTAs, how are you going -- I think you say most of them are implemented and functioning well, but is TUI up and running or is that one of the ones that isn't there yet? Thanks.
Michael O’Leary: Okay. Ukraine, Andrew, we would use our existing aircraft. We have aircraft based at 94 aircraft -- or 94 bases across Europe. We would pivot and cancel some existing deployments of aircraft. So, if you take -- We would be operating within six weeks of the skies reopening. We would be offering services back into Ukraine from Dublin, London, Brussels, Milan, Madrid, you name it, we'll be flying there. But we would involve cancelling, say, we may have to take out something from Dublin to Morocco or Dublin to the Canary Islands or Dublin to somewhere. But we've identified all of those. Excuse me, we think we will be operating about somewhere between 15 and 20 routes back into Ukraine, mostly Kyiv and Lviv, subsidy of those airports. And we are the only airline that actually has that kind of capacity because we're so big at so many of those European airports, because we have that spread. And we have so many Ukrainian citizens dispersed across Europe. We would be able to pivot, and we think fill those aircraft pretty quickly. But it would mean a further cut to our existing capacity, our existing routes elsewhere. But it would be our commitment to rebuilding Ukraine and investing heavily in Ukraine or in the reopening and the rebuilding of Ukraine. And Eddie, on the OTAs, two we are up there. The only two we haven't yet, the only two who are still overcharging their customers of any scale is eDreams in Spain and Booking.com in the US. Booking.com are reasonably small in the overall scheme of things. eDreams have a reasonable scale in Spain, but not across most of the rest of Europe. The deals we have done, though, would account for more than 90% of all the OTAs, and we would be very happy. I mean, we're indifferent as to whether eDreams or Booking.com sign up, but we will continue to point out in our monthly surveys and to the consumer agencies that these guys continue to inflate and overcharge their customers for Ryanair, Ryanair and the other airline airfares, and for Ryanair and other airline services. And we are astonished at the failure of the European consumer agencies, the government to take any action on this rampant profiteering or scalping of unsuspecting consumers. Consumers believe that they're buying products and services from these people at lowest prices on the basis of some mythical price comparison, and they're getting fleeced and overcharged by them every time they book. All of the others who we are now are approved OTAs, the Kiwis, On The Beach, and many others are all now selling transparently. They have a direct -- We've eliminated for them the cost of screen scraping because we give them a direct pipe into Ryanair, and they are able to show their customers and sell to their customers Ryanair prices for airfares and Ryanair prices for ancillaries. And I think they're seeing a significant recovery in their own sales with Ryanair over recent months, particularly over that key Christmas into New Year holiday booking period. Eddie, anything you want to add on?
Edward Wilson: Yes. I mean, it won't be a surprise that like some of the newer technology-based ones are more agile. And like the, sort of, tour operators, they generally have older technology stacks, so they're a little bit more challenged in getting up to full speed on that. But you are seeing things like with OTAs now, because of the stability of their ability to put the product out there, they're now extending into winter breaks, which is good news as well, whereas they're not just concentrating on the sort of, volume-based in the summer. So the tour operators do lag a bit, but that's a function of their technology rather than their willingness to sell.
Michael O’Leary: Thanks, Eddie. Okay, next question, please.
Operator: The next question comes from Johannes Braun with Stifel.
Michael O’Leary: Johannes, hi.
Johannes Braun: Hi, good morning. Two questions for me. Firstly, you mentioned earlier that yields next fiscal year should benefit from the reduced growth. Obviously, the flip side is that there's a headwind for unit costs for you, given the lower growth, I think you mentioned that as well. Obviously, difficult to say, but in your thinking, will this be a net positive or a net negative for profits next year? Any thoughts, welcome. Appreciate, it's difficult to say. And then secondly, here in Frankfurt, we are now only one year away from the integration of the new terminal, which will have a low-cost tier. Basically, that's at the same time when you will eventually [Multiple Speakers]
Michael O’Leary: [indiscernible]
Johannes Braun: Yes, all right.
Michael O’Leary: Okay. I'll restrain my skepticism about Frankfurt's low-cost terminal and ask Eddie to deal with that. Look, will the 3% rate of growth be a headwind for cost this year? No. As long as we are able to manage the recruitment and the staffing for that kind of lower 3% rate, there will be some inflation this year, but most notably on route charges, we think the staff cost run rate will be lower than it was this year, but we're doing good work on the airport and the handling charges, and fuel will kick in a modest cost saving again. So, I think we are in a reasonably strong or stable position on cost for the next 12 months, thanks to fuel. Obviously, we're unhinged on 25% of our fuel, but if Trump is effective in getting oil production up and in the short-term, prices downward, then I think we will -- there'll be some upside for us on cost. Really, what's my view on net profitability? It all depends on where fares and yields fall in the next -- through the summer of this year, and it is just too early to say. We will have a strong April because of Easter. I think I would be -- And again, I go back to say, I'd be modestly, cautiously optimistic on pricing. Forward book is at 1% ahead of where they were this time last year. I think it's reasonable to expect -- given that pricing fell 8% last year, I think there's a reasonable profit we might get back for three quarters, we might recover 4% or 6% effort. But we have no visibility, and therefore, we can't come up with what do we think will happen to net profit. We think cost will be reasonably constrained, and the net profit will all depend on where pricing goes. And pricing, as you know, we were surprised this year that pricing fell by 8%. We don't know where pricing is going this year, but I think there's a -- I think I'd be hopeful, but no more than that of recovering some or all of that 8% decline in the last 12 months. Eddie, low-cost terminal in Frankfurt. I must say, Johannes is clearly referring to Hahn, but obviously -- [Multiple Speakers]
Edward Wilson: I mean, the one problem that Germany doesn't have is unused capacity, and this will just add on to it. I mean, like the difficulty in Germany isn't capacity, it's the price and getting airlines to fill that out. I mean, if you look at what's happened in a German airport today, it would cost you close to EUR60 per passenger, walk through the bloody airport, there's more security people in Frankfurt main than there are at gates where there are passengers on some evenings when you're going through. But are you looking -- like, look at what's played out in Brandenburg, where we had the opening of this massive terminal that's half empty. easyJet have left in huge numbers, we reduced our aircraft. I mean, an interesting statistic is that in the capital city of the largest economy in Europe, Ryanair, the largest airline in Europe, has the same number of aircraft based there as we do in [Vita] (ph) on the Dutch border. There's something wrong, and it's going to have to be fixed. And the aviation policy of the German government, not unlike what's happened with other parts of the economy and electric vehicles and all sorts of things about betting the house on one policy, the national champion is not going to come back and fill out the lost capacity post-COVID because they only have one model that centres on Munich and Frankfurt. And you see Berlin in decline, Hamburg, we've left 60% has gone from there. And we've closed Leipzig, Dortmund and Dresden. But the only ones that are sort of punching for and fighting for capacity are the small regional airports and they're not that regional. Baden-Baden, Karlsruhe is a sizable city. We're getting spectacular growth in Witten, Memmingen, West of Munich is doing fantastically well. Something's got to give in Germany. We won't be cutting the ribbon on the terminal that's going to solve it. They're going to have the lower cost.
Michael O’Leary: Yes. I mean, look, we've been reasonably hopeful, Johannes, you have new elections in the spring, a new government will clearly want to change the abject failed policies of the last government, and it's not just airport fees either, although the airport, German airports, are ridiculously expensive. ATC fees have gone up 50% since COVID with no improvement in service at all, but [Technical Difficulty] completely unjustifiable. Security taxes have doubled since COVID. The German government seems to think that the future -- that the way to fund the economy is just tax the shit out of the air passengers. As a result of which, air passengers are avoiding Germany and their millions. easyJet have massively cut back their capacity. Ryanair's got back in. We've closed bases in Hamburg and Stuttgart, in Cologne, and we've no need to -- we've no desire to go back there. We are growing happily in Italy, in countries all over Europe and Germany can stagnate away under its -- the current policies of the failed government, or we would hope that the new government will follow some kind of growth minded policies. And if nothing else, Trump might at least wake up some of these complacent [indiscernible] liberal governments in Europe, who think, well, we just tax the shit out of air travel and all will be well. Stop taxing air travel. We're critical to European integration, we're critical to the competitiveness of the European economy. Mario Monte had the air to air transport is front and center of his report. Reform the abject ATC services we suffer here in Europe. They abolish aviation taxes and let the airlines get on. Stop trying to over re-regulate air travel through the back door with the Italian price decree or the Spanish bloody bag fines. Get the hell out of the aviation industry and let us get on with delivering growth and competitiveness without having to wait for another runway in Southeast, the UK, which will never happen in my lifetime. Other than that, all is well in Germany, Johannes. Keep beating the English in football. We keep supporting you. Next question, please.
Operator: The next question comes from Alex Paterson with Peel Hunt.
Michael O’Leary: Alex.
Alex Paterson: Hi. Good morning, everybody. If I can -- can I just go back to the compensation issue, which was, if I understand correctly, you were saying that it's a small number. Are we talking EUR20 million, EUR30 million, something like that? And then secondly, similarly with the legal charge is that -- I think, Juliusz mentioned that the total charge was EUR170 million. Have you therefore provided EUR85 million, being half of the EUR170 million?
Michael O’Leary: Okay. The compensation is a small number. We're not putting a number on it, but it's not a million miles away from the numbers you quoted. The legal charge, EUR170 million was for all of the airlines. We have -- because Ryanair is by far and away the largest airline in Spain. We were in for EUR107 million, so we provided about 50% at about EUR54 million in the quarter. So the compensation number with Boeing is small. The legal charge is quite significant, particularly in a quarter, but we are very confident that that fine will -- that those fines will be ruled to be in breach of EU law and will be rolled back. But it might take us a year or two to roll it back.
Alex Paterson: Thank you very much.
Michael O’Leary: Thanks, Alex. Next question, please. Harry?
Operator: Next question from Harry Gowers with JP Morgan.
Harry Gowers: Hey. Yes, morning. Morning, Michael.
Michael O’Leary: Hi, Harry.
Harry Gowers: First one just on the ownership and control restrictions. Maybe you could just share the general feedback that you've got so far from your consultations with regulators and shareholders? And then just -- can I just go back and confirm a number from earlier on in the call? I think it was when you were answering the question on SAF, did you say that the ETS cost plus SAF cost would be roughly EUR1 billion in March 2026? I might have heard that wrong. Thanks a lot.
Michael O’Leary: Okay. Thomas, I'll give you the second one. Juliusz, you want to update us on the consultation with shareholders and regulators on the ownership and control?
Juliusz Komorek: Yes. Hi, Harry. So Harry, we met with shareholders representing over two-thirds of issued share capital over the last few months. Discussions are focused on our current restrictions as compared to those applied by other airlines, and whether there is a competitive disadvantage to us in the current restrictions and the potential impact of a change in the current structure. And then when it comes to the impact, the focus has been on the returning UK and US demand to the ordinary line and potential inclusion in indices and what that would do to passive investments, returning or growing there. And then on the regulator side, again, kind of positive, helpful engagement, went well so far. Again, a lot of focus on the potential change of the purchase restrictions, which are the, kind of, more challenging of the two options that we are considering, and the kind of competitive distortion arising from the current restriction on our side as compared to the structure followed by some of the other airlines. We still have a few follow ups in the diary over the next few weeks and we haven't yet reached the 50% threshold, 50% EU ownership threshold. We are making progress on that front, have made significant progress since we announced the consultation in early September. But it is difficult to say at this stage whether we're looking at another month or three months or maybe it will be closer to the middle of the year by the time we get to the 50% mark. When we do, the Board will make a final decision, so no decisions have been made yet. But feedback from investors have been very helpful in helping the Board understand where investors stand on this issue.
Michael O’Leary: Thanks, Juliusz. That was helpful. Thomas, to clarify the --
Thomas Fowler: Yes. So just to clarify, Harry, I said the ETS for this year for FY 2025 is about EUR850 million and we're better hedged gone into next year to offset the unwind of some free allowances. So we expect ETS and SAF to be just over EUR1 billion in FY 2026, so combined.
Harry Gowers: Okay. Thanks, guys.
Michael O’Leary: That clarifies it, Harry? Okay. Next question, please.
Operator: That was our final question. So we'll hand back over to you, Michael.
Michael O’Leary: Okay. Thank you very much, ladies and gentlemen. So I don't have anything else to add to that. Look, I think our Q4 comp, prior year comp, this year is going to be tough. So, I think, let's keep every feet on the ground. For the nine months collectively, pricing was down 8%. Yes, we've had a reasonably good Q3. Q4 numbers will be challenging and then I think we will have -- and I would point again, we'll have an easier prior year comp into Q1. So Q1 will look good. But I think the big issue, and I'm afraid we're not able to help you at this point in time, is summer capacity this year will be heavily constrained. We think that is probably -- helps certainly our growth and helps our pricing, but it's too early to say yet where the pricing number will come out. We're working on our budgets. We expect to finalize those by the middle. They go to the Board at the end of February. But we have finished FY 2025 a little bit better than we had originally thought at the start of last year when we saw pricing falling away from us. Pricing does appear to be recovering, but we think it will be modest and we'll continue to be cautious. In the meantime, we're working very closely with Boeing. We really need an end to these very frustrating delivery delays. We're hopeful. Well, I mean, we're confident we'll get the nine aircraft in time for May of this year and then the 29 aircraft for next year. Then we're working hard with Boeing and with the YASA to make sure that we get the MAX 7 or the MAX 10 certified as quickly as possible, so that we can kind of plan for our capacity and market share growth into summer 2027. Okay. We are not doing a road show as you know on the Q3s, Peter Larkin and his team here in the IR team are in the office in Dublin, if anybody has any follow up questions for him. Neil is doing a -- meeting a few investors in London today and I think you're going to Paris tomorrow. And other than that, Eddie, myself and the rest of the team here will be focusing on our day to day job, which is reducing costs, rolling out growth, and taking market share from competitors, which is not that difficult in the current marketplace. Thank you very much, everybody. Look forward to seeing you again soon. Bye-Bye.
Operator: This concludes today's Ryanair conference call. Thank you for joining. You may now disconnect.